Mike Beckman: Welcome to the Texas Instruments Second Quarter 2025 Earnings Conference Call. I'm Mike Beckman, Head of Investor Relations, and I'm joined by our Chief Executive Officer, Haviv Ilan and our Chief Financial Officer, Rafael Lizardi. For any of you who missed the release, you can find it on our website at ti.com/ir. This call is being broadcast live over the web and can be accessed through our website. In addition, today's call is being recorded and will be available via replay on our website. This call will include forward-looking statements that involve risks and uncertainties that could cause TI's results to differ materially from management's current expectations. We encourage you to review the notice regarding forward-looking statements contained in the earnings release published today as well as TI's most recent SEC filings for a more complete description. Today, we'll provide the following updates. First, Haviv will start with a quick overview of the quarter. Next, he will provide insight into second quarter revenue results with some details of what we are seeing with respect to our end markets. Lastly, Rafael will cover financial results, give an update on capital management as well as share the guidance for third quarter 2025. With that, let me turn it over to Haviv.
Haviv Ilan: Thanks, Mike. Let me start with a quick overview of the second quarter. Revenue came in about as expected at $4.4 billion, an increase of 9% sequentially and an increase of 16% year-over-year. Both Analog and Embedded grew year-on-year and sequentially. Analog revenue grew 18% year-over-year and Embedded Processing grew 10%. Our other segment grew 14% from the year ago quarter. Let me provide some comments on the current environment and what we saw in the second quarter. We continue to see 2 distinct dynamics at play. First, tariffs and geopolitics are disrupting and reshaping global supply chains. As we work closely with our customers, we are leveraging our global manufacturing capabilities to support their needs. We have flexibility and are prepared to navigate as things evolve. Second, the semiconductor cycle is playing out. Cyclical recovery is continuing while customer inventories remain at low levels. In times like this, it is important to have capacity and inventory, and we are well positioned. Now I'll share some additional insights into second quarter revenue by end market. First, the industrial market increased upper teens year-on-year and mid-teens sequentially with recovery across all sectors. The automotive market increased mid-single digits year-on-year and decreased low single digits sequentially. Personal electronics grew around 25% year-on-year and grew upper single digits sequentially. Enterprise systems grew about 40% year-on-year and grew about 10% sequentially. And lastly, communications equipment grew more than 50% year-on-year and was up about 10% sequentially. With that, let me turn it over to Rafael to review profitability and capital management.
Rafael R. Lizardi: Thanks, Haviv, and good afternoon, everyone. As Haviv mentioned, second quarter revenue was $4.4 billion. Gross profit in the quarter was $2.6 billion or 58% of revenue. Sequentially, gross profit margin increased 110 basis points. Operating expenses in the quarter were $1 billion, up 5% from a year ago and about as expected. On a trailing 12-month basis, operating expenses were $3.9 billion or 23% of revenue. Operating profit was $1.6 billion in the quarter or 35% of revenue and was up 25% from the year ago quarter. Net income in the quarter was $1.3 billion or $1.41 per share. Earnings per share included a $0.02 benefit not in our original guidance. Let me now comment on our capital management results, starting with our cash generation. Cash flow from operations was $1.9 billion in the quarter and $6.4 billion on a trailing 12-month basis. Capital expenditures were $1.3 billion in the quarter and $4.9 billion over the last 12 months. Free cash flow on a trailing 12-month basis was $1.8 billion. In the quarter, we paid $1.2 billion in dividends and repurchased $302 million of our stock. In total, we returned $6.7 billion to our owners in the past 12 months. Our balance sheet remains strong with $5.4 billion of cash and short-term investments at the end of the second quarter. In the quarter, we issued $1.2 billion of debt. Total debt outstanding is $14.15 billion with a weighted average coupon of 4%. Inventory at the end of the quarter was $4.8 billion, up $125 million from the prior quarter, and days were 231, down 9 days sequentially. Turning to our outlook for the third quarter. We expect TI's revenue in the range of $4.45 billion to $4.80 billion and earnings per share to be in the range of $1.36 to $1.60. Our earnings per share outlook does not include changes related to recently enacted U.S. tax legislation and assumes an effective tax rate of about 12% to 13%. In closing, as we transition into the second half of 2025 and going into 2026, we're prepared for a range of scenarios. We are and will remain flexible to navigate, especially in the immediate term. We will stay focused in the areas that add value in the long term. We continue to invest in our competitive advantages, which are manufacturing and technology, a broad product portfolio, reach of our channels and diverse and long-lived positions. We will continue to strengthen these advantages through disciplined capital allocation and by focusing on the best opportunities, which we believe will enable us to continue to deliver free cash flow per share growth over the long term. With that, let me turn it back to Mike.
Mike Beckman: Thanks, Rafael. Operator, you can now open the line for questions. In order to provide as many of you as possible an opportunity to ask your questions, please limit yourself to a single question. After our response, we'll provide you an opportunity for an additional follow-up. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Stacy Rasgon with Bernstein Research.
Stacy Aaron Rasgon: First, if I think to how your tone sounded last quarter and, frankly, even how you sounded kind of mid-quarter, you seemed really confident that the cyclical recovery was here, and we were kind of off to the races. And now I'm hearing you kind of saying you're staying flexible like to go after a range of scenarios. And like even in the quarter, like auto was down sequentially. I guess like what's going on, like how is your, I guess, outlook and feeling about where things are? How has that changed like over the last 3 months? Because you sound -- I guess just based on tone and everything else, it doesn't sound maybe quite exuberant as maybe sounded a few months ago, like what's going on?
Haviv Ilan: Stacy, I'll take this one. So first, as we -- as I said in my prepared remarks, we are seeing 2 dynamics at play, and 1 of them is the cyclical recovery. I think we talked through it in the second quarter call back in April. And the discussion was all about industrial is joining the pack. We are now one more quarter in and this is the third quarter that we see a signal of industrial recovering, it's actually accelerated. So I can say we support 5 markets, we now have -- it started with PE, then enterprise and comms joined, and industrial is already in. We have 4 out of 5 markets recovering at a nice pace. And this is part of the reason we've added commentary on year-over- year performance to just show the dynamics over there. In terms of automotive, to your question, look, automotive, let's just remember that it's kind of a year delayed versus industrial, right? Industrial peaked for us at least in the third quarter of 2022. Automotive picked 1 year later in the third quarter of 2023. So one could expect automotive to be joining last. The automotive recovery has been shallow, meaning we are running single digits versus the peak, we are running year-over-year. We are actually having some growth in the second quarter from a year-over-year perspective, but at a very low level. So I will say that automotive has not recovered yet. But because of content growth, I think the cycle here is going to be less pronounced and more shallow. The second point related to getting ready. Look, we had some taste of it in the beginning of the second quarter, and we talked through it a lot during the call. But I think all the situation of tariffs and geopolitics disrupting supply chains, I think that's not over, right? It's true that we pause right now on the semiconductor tariffs, both in the U.S. and in China. But we have to be prepared for what the future may hold. So we want to make sure, and this is also the message to our customers that we'll remain flexible, and we'll know how to support our customers whatever the environment is moving forward.
Mike Beckman: You have a follow-up, Stacy?
Stacy Aaron Rasgon: I do. Maybe just a follow-up. Actually, I think I want to ask you about gross margins. We'll go there. If I just back into the guidance for next quarter, it seems like you're guiding gross margins probably down sequentially implicitly on revenue growth. I guess is that the case. And like what is that. Is that just depreciation, I know depreciation went up in the quarter. Is it just depreciation going up further? Or is something else going on in the gross margin line or what?
Rafael R. Lizardi: Yes, Stacy, I'll take that. So to help you and everyone with their models, where you should be landing, given our guidance is GPM percent above flat despite the higher depreciation that we're going to have going into third quarter. OpEx above flat. And then you -- what you're probably missing is the net of other income and expense and interest expense that's going to be unfavorable, about $20 million as we have lower cash levels, interest is lower while debt interest expense has continued to increase. So that's the part that's probably missing to round out your model.
Operator: Our next question comes from the line of Harlan Sur with JPMorgan.
Harlan L. Sur: One of the signs of cyclical recovery is improvement in your terms business. Did the team see terms business grow sequentially in Q2, both in dollars and percent of revenues? And was it broad-based across both your industrial and auto businesses?
Haviv Ilan: Yes. Let me start, and maybe, Mike, you can comment right after. So I think, yes, from a terms perspective, we see a continuation of that dynamic. We saw again, acceleration in the second quarter. Our -- we continue to invest in inventory. Our lead times are at the lowest level, customer inventories are very low. So we've seen that continuing. And Mike, maybe you want to provide some more color here? .
Mike Beckman: Yes. I think as we've talked about in previous quarters, that's something that late last year and in the first quarter began to build, we continue to see that into the second quarter as well.
Harlan L. Sur: Perfect. And then for my follow-up question, good to see the continued sequential and year-over-year recovery in the industrial segment, it's quite diverse, right? 10 subsegments, but the largest subsegment industrial automation, which is tied to manufacturing activity is pretty sensitive to trade and tariffs. So just wondering if this segment is relatively weaker due to tariff concerns. Or are you seeing shipment and order recovery here as well, especially among your China-based industrial customers.
Mike Beckman: Yes. Maybe I'll take that one. And what we actually saw in Industrial was recovery was broad, and it was across all sectors. So I'd say it's a continuation of the recovery we saw in the first quarter, and that's where we are. So, yes, move on to the next caller. Thank you.
Operator: Our next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Clark Seymore: Haviv, kind of going back to the first question just on kind of the tone, it seems like a little bit of a tone change on our side, maybe not so much to you, but maybe I'll try to ask it a different way. You highlighted the uncertainties about the tariff side of things, but then endorsed the cycle was coming. Last quarter, you guided significantly above normal seasonality. You seem to lean in on the cycle side and didn't really say that tariffs were doing much. So did something change in either the strength of the cycle or the uncertainty around the tariff to lead you to guide to more of a typical seasonal quarter for 3Q?
Haviv Ilan: Yes. Let me put some more color into it, Ross. I think it's a great question. So remember, when we met here in April, we dealt with reciprocal tariffs on both sides. U.S. was exempting semis, but China had a 125% tariff rate on semis during the call, right? So just a different situation versus where we are now, now tariffs are put on hold, so a little bit of a different environment. I will say that we -- and I think I mentioned it also during the last call, when there is a change of dynamics like tariffs are being added, and I go back to April, customers are sitting on very low inventories. I think it's a good assumption to make that customers will want to have a little bit more inventory. And we did see that phenomenon. We did see that in the early part of the quarter, there was an acceleration of demand and as expected, when customers are sitting on no inventories and there is a lot of noise around tariff. That has normalized through the quarter, and we are kind of back to right now, what drives our day-to-day is just a cyclical recovery. Now as we forecast into Q3 and given the fact that we have a lot of real-time turns business that we have to kind of assess for the future, I think it's prudent to have a little bit of -- or to remember that what we saw in Q2 is probably a combination of customers wanting to have a little bit more inventory because of tariff and also the cyclical recovery. When customers make orders, they don't tell us why they want more parts. And I would assume that some of it was for building a little bit of inventory on their shelves to protect themselves from tariffs, if you will. So that is my assumption. Again, I don't know how the third quarter will play out, but that's part of the way we are forecasting Q3.
Mike Beckman: Ross, do you have a follow-up?
Ross Clark Seymore: I do. Switching over to Rafael. Just kind of on the CapEx side of things, how should we think -- or is there any update on the CapEx and depreciation framework that you've given us for the annual numbers for this year and next year, especially given where you are in Phase 2, maybe going to Phase 3 on the CapEx side. Just want to see if there's any incremental color there.
Rafael R. Lizardi: Yes. No, happy to do that. The bottom line is there's no change but let me go through those so that everybody has those. On CapEx, for this year, 2025, we continue to expect to spend $5 billion. And for 2026, it's going to be between $2 billion and $5 billion, depending on revenue and growth expectations at that time. And we will update you on those -- on narrowing that CapEx window most likely later this year, okay? On depreciation, switching to depreciation, for 2025, we continue to expect $1.8 billion to $2 billion. And for 2026, we continue to expect $2.3 billion to $2.7 billion and likely to be at the lower side of that range.
Operator: Our next question comes from the line of Vivek Arya with Bank of America.
Vivek Arya: Haviv, sorry to go back to this tone change because it's not just from the last earnings call. It's at the end of a conference at the end of May, I think you had suggested that every remaining quarter of '25 will accelerate from the first half up 13%, but your Q3 sales guide is up only 11%. So my question is that versus that reference point, which end market has softened? Is it that the industrial normalization is done? Is it that auto, right, was a little weaker? Or is that just extra conservatism on TI's part? Because the tone change is, as I mentioned, not just from earnings, but from the end of May.
Haviv Ilan: Yes. And again, I don't control probably tone level, but that's you guys are hearing...
Vivek Arya: But you quantified it, Haviv. You quantified; it wasn't just tone.
Haviv Ilan: Sorry, directly to your question, Vivek, I would say that in the second quarter, we have seen industrial, in my opinion, running very hot, right? What were the numbers sequentially? Mid-teens, I think.
Rafael R. Lizardi: Upper teens, yes.
Haviv Ilan: And it grew significantly year-over-year in the second quarter, close to 20%, right? So in that sense, I do believe it ran a little hot. This is where I want to be a little bit more cautious into Q3. We also saw and I'll let Mike comment about geographies. We also saw a little bit of higher pulls from China in the second quarter. We will have it in the queue when it comes out. But Mike, maybe you can give a little bit of China -- by region, maybe, not only China behavior in 2Q.
Mike Beckman: Sure. Yes. So China, it was up about 19% sequentially, it grew about 32% year-over-year. All end markets grew there with the exception of automotive and auto was pretty consistent with our overall results there. And industrial did lead the growth there in China. And just as a reminder, our China headquarter customers represent about 20% of our overall revenue.
Haviv Ilan: And Vivek, that information gives you a little bit of why I want to be cautious for Q3, right? We have seen China running again a little bit hot in Q2. It was not across all markets, meaning on the automotive side, it behaved very similarly to the rest of the world. So it was not across the board. So we give you the data that it's hard to decipher what exactly or to decouple what was related to "pool-ins" or what was related to cyclical recovery. I think both are happening. And that's what -- that's the data we have right now, and that's what guides our third quarter as we plan for Q3.
Mike Beckman: Do you have a follow-up, Vivek?
Vivek Arya: For my follow-up, given everything they have heard, Haviv, I know you typically don't guide the quarter out, but how would you advise us to start thinking about Q4 that should we assume a similar conservative tone and assume something that is -- usually, your seasonality is, I think, down sequentially or flat sequentially. If you could remind us of that in Q4. And given everything we have heard; how should we just conceptually think about the move into Q4?
Haviv Ilan: Vivek, as you know, we are a 1 quarter of a time company, specifically on guidance. So I will just say let's let the third quarter play out. Mike, do you want to comment about seasonality?
Mike Beckman: Yes. So historically, second and third are typically stronger quarters, fourth and first are typically seasonally lower. But we'll have to let third quarter play out to -- before we're going to be ready to talk about fourth. So maybe we'll go on to move on to our next caller. Thanks, Vivek.
Operator: Our next question comes from the line of C.J. Muse with Cantor.
Christopher James Muse: I was hoping to revisit gross margins. You indicated flat roughly sequentially, and I guess within that, could you speak to your plans for utilization? Are there any sort of changes in mix? And if we were to normalize to kind of your typical, more typical 80% kind of fall through that would be an incremental maybe $25 million, $27 million. So is the kind of the pause in gross margin uplift 100% due to that increase in depreciation? Or are there other factors that we should be thinking about?
Rafael R. Lizardi: Yes. No, just to give you a few more information there. As I said earlier, and you restated, we expect third quarter gross margin to be about flat to the second quarter. That is with higher revenue, but also higher depreciation. In terms of loadings and inventory, we expect to run loadings about the same in third quarter as we did in the second quarter as we are well positioned with inventory to support a wide range of cyclical recovery scenarios. Inventory, I expect to grow but at a slower rate than the growth we just had in second quarter. So hopefully, that gives you -- and then on the fall-through, we guide 75% to 85% debt over the long term that's over year-on-year and not any 1 quarter, but we should be close to that fall-through. We'll speak more about that when we have actuals, and we'll have better information to provide. But you should continue to think of 75% to 85% is a good number to use over the long term.
Mike Beckman: C.J., do you have a follow-up?
Christopher James Muse: I do. With the ITC going from 25% to 35%, curious if you can comment on your thoughts on impact to your net CapEx into '26, '27. And is there any sort of movement or thought process that we should have around the impact of depreciation?
Rafael R. Lizardi: Okay. No, thanks for that question. So let's talk about the legislation that just passed. First, we are very pleased with the changes resulting from the passage of the recently enacted U.S. federal tax law. It includes expensing of U.S. R&D and eligible capital expenditures, an increase to the ITC from 25% to 35% and changes to other tax provisions such as the making FDII permanent. We are -- the effects of the new tax law are not reflected in the statements that we just released in the financial that we just released since the passage of the law happened in July. We are currently evaluating the changes in the legislation are going to have on future financial statements. That's why in the guide that we gave, we did not incorporate it. We need additional time to do a full evaluation. However, I would tell you that based on our initial assessment, what we expect, what would likely happen is our GAAP tax rate will increase in third quarter in 2025; however, it will decrease in 2026 and beyond. More importantly, the cash -- from a cash flow standpoint, we expect significantly lower cash tax rates for the next several years. So again, we're very pleased with that legislation. Let me speak real quickly. You mentioned -- you asked about CapEx plan specifically. Our CapEx plans remain consistent with what we shared in February and will depend on revenue.
Operator: Our next question comes from the line of Jim Schneider with Goldman Sachs.
James Edward Schneider: Maybe following up on some of the other questions that were asked. Could you maybe comment on some of the end markets, whether it be personal electronics or enterprise systems or otherwise, that you think may have gotten a little bit ahead of themselves or maybe run a little bit hotter into Q2 and which ones you think are sort of at risk of reverting a little bit in Q3 into Q4.
Haviv Ilan: Yes. Let me take that. Remember that when we talk about the PE market and also enterprise, they're all kind of running at different phases under cyclical recovery. It started with really PE, then followed by enterprise, and comms and then Industrial joined later. As I mentioned before, the automotive market, we -- again, it's a very shallow cycle, but we haven't seen enough signs of true broad recovery over there. Now regarding the -- if you go back to second quarter, where we saw a little bit, I will say, markets that ran higher than expected was on the industrial. We did expect the cyclical recovery in industrial with -- it did grow 15% sequentially, which is a little bit unnatural. When you add on top of it, the geography footprint, this is where I have a little bit of more cautiousness. I wouldn't mark anything else that behave differently in second quarter, Mike, would you agree?
Mike Beckman: That's the right assessment.
Haviv Ilan: Yes, that's a market where we saw a little bit of, I think -- I wouldn't say anxiety, but customers just preferring to just have more parts. And we did see normalization through the quarter. So think about the front end of the quarter was running faster than the second half of the quarter. We think we left the quarter at a normal rate, but it's very hard to assess right now. So we keep watching it, and that's the market where I want to be more cautious when I think about Q3.
Mike Beckman: Do you have a follow-up?
James Edward Schneider: Yes, I do. Relative to capital allocation, you mentioned about the cash tax benefits that you expect that will positively impact free cash flow next year and beyond? You reiterated the CapEx guidance, but can you maybe kind of speak to the capital return portion of this? Obviously, your free cash flow is better than what might you do differently or more on buybacks or dividends?
Rafael R. Lizardi: Yes. No, that's a good question. It's going to depend, and it's going to depend on a number of factors. For instance, right now, we're still in the middle of a high CapEx environment. And we'll see how long that lasts. As we said, next year, we do have a range of 2% to 5%. So that's still -- even at the low end, it's still a meaningful amount of CapEx and we need to be ready for that. And there are other factors, cash on the balance sheet, the price of the stock price, that also -- the stock that also plays into our decision. So we'll take that all into account. But at the end of the day, our objective remains the same when it comes to returning capital to owners, and that is to return all free cash flow through dividends and buybacks.
Operator: Our next question comes from the line of Chris Caso with Wolfe Research.
Christopher Caso: The question is about fab loading and what your intentions are as we go through the back end of the year into next year, I guess, in light of some of the caution that you expressed, any changes you're making to fab loading and basically where you want your internal inventories to sit as you exit the year?
Rafael R. Lizardi: Yes. So I'll tell you, on an ideal -- in an ideal world, what we would want to do. And of course, the world is not ideal, and we'll have to navigate through that. But in an ideal world, what we would do is whole -- manage the operations, so the loadings are relatively stable, relatively flat over time. And what happens during a cyclical upturn, we actually drain some inventory and then during a cyclical downturn, we actually build some inventory. And that's how you get the factory to run effectively constant over that time. Of course, it's not -- it's an ideal environment. You never quite know when you're at peak, when you're at a trough, so we'll have to add some guardrails to that to make sure that we maximize the opportunity and maintain flexibility. But at a high level, that's how we would like to run the company.
Mike Beckman: All right. Do you have a follow-up, Chris?
Christopher Caso: I do. And my follow-up if I could dig into auto a little bit more deeply. And it sounds like what you're saying there is auto hasn't really changed but hasn't recovered yet. That's a market where you've got a few customers that you speak to there, what's their tone right now, given all the macro uncertainty, what are they doing with inventory levels and preparing now? Is it just sort of in a holding pattern right now with regard to auto?
Haviv Ilan: Yes, I think that's a good description. In a way the -- and again, I look at my graph here in front of me. So automotive, again, peaked for us in the third quarter of 2023 and in the last, I would say, 6 quarters, a little bit up, a little bit down, but hovering around a certain level of high single digit down versus that number. So -- and think about the automotive customers, those who shipped into the U.S., they have tariffs to deal with. So I don't think they want to -- I think they're being cautious right now. And I think the orders we get is only when they really need it. I don't think there is any inventory replenishment there, not only at the OEMs but also at the Tier 1 level. So everything is almost real time. And we'll just -- we have -- our lead times are so low and most of our automotive customers on consignment. So we just get it real time. So to your point, we haven't seen yet the recovery. But remember, industrial peaked in the third quarter of '22, and we saw the recovery starting in Q4 of '24, so you can argue that automotive could be maybe a year later, if you just keep the same duration. So is it going to be some time in the second half of the year, we'll just have to see real time.
Operator: Our next question comes from the line of Joshua Buchalter with TD Cowen.
Joshua Louis Buchalter: Maybe following up on Chris' previous one. When you spoke about China, it was clear that auto was sort of the outlier there and was down in line with your broader auto business. I mean it seems like China auto trends have been positive year-to-date, including in 2Q. It doesn't sound like there's de-stocking going on. Can you maybe explain what's going on specifically in China auto. Is there any element of share loss happening there? Or do you think it's more inventory dynamics?
Haviv Ilan: Yes, I think it's a good question. I think it's more the latter. Automotive ran very hot last year in China, and there is enough news out there that there was a little bit of a caution coming or guidance, say, slowdown, some of the price wars over there. So I think we saw some of the dynamics. I think our automotive business in China is doing well. I think from a year-over-year perspective, we grew the automotive business in Q2, but China was ahead of the rest of the market simply because, again, first in, first out. So we saw the recovery in China starting in 2024. I think it takes a little bit of a breather right now, but I think it's related to inventory correction on their side.
Mike Beckman: And I'd just add, if you look across the major regions for us in auto, U.S., Europe, China, they more or less performed pretty similarly on a sequential basis. They weren't vastly one stuck out differently than the others. When you look on a year-on-year, that's for China now is [indiscernible].
Haviv Ilan: I would say China and Asia ahead and then you go to Europe and Japan behind very coherent with what we've seen in other markets.
Mike Beckman: Do you have a follow-up, Josh?
Joshua Louis Buchalter: Yes, please. And so similarly, when you talked about China, it sounds like there was some element of potential pull-ins that were impacting the 2Q. You guys have talked for a while about having geopolitically dependable supply for the West. Are you seeing that on your customers outside of China at all? Or have they changed their behaviors? And when would -- should we expect sort of the share gains that you expect because of your U.S.-based manufacturing to start to flow through the model?
Haviv Ilan: Yes. So let me start with just -- you mentioned the pull-in. We don't know. I just want to repeat that point. We just have to make assumptions. Customers don't tell us why they order. We just go through the data and try to decipher it, right? So we just can't rule out the possibility, and we say there was likely could have been some. When you see such a strong behavior in Q2 versus Q1, you have to attribute some of it to the tariff environment. Also remember that in China, we have -- the automotive market is more like what we call signed accounts. We talk to the customers; we can explain to them the options. We have many industrial customers, it's just hard to get to everyone at once. And I think it just takes longer to let customers know the diverse manufacturing footprint, and we've got their back. So I think that's part of what we've seen during the second quarter, plus the tariffs that took a breather after a month or so. Now regarding the overall discussion on tariffs and our U.S. manufacturing footprint, I think that's an important point. We've spent a lot of time during the last call talking about the challenges maybe in China and how we are navigating it. But remember the environment is dynamic. Things are changing regularly, and tariffs and geopolitics will continue to evolve. And as I said in the prepared remarks, reshape the supply chain. I think some of it is going to be a little bit more permanent. So our customers are increasingly valuing our geopolitically dependable capacity. And in the U.S., I think TI -- I think first, let me say, our global manufacturing footprint is optimized to support all of our customers worldwide. But if you go into the U.S., I do believe that the U.S. will make semis be -- U.S. semis will be increasingly incentivized in the U.S. And we do have a unique position. These are not investments that were made during the last quarter. We have been working on it for the past 5 years. Again, not because we have foreseen tariff. We just wanted to control our destiny in the best way for us or the best efficiency for us to build our manufacturing footprint was in the U.S. And I think that hasn't played out yet. We do have a few customers. You could probably count them on one hand that are savvy and knowing what the plan -- how the plans could evolve. And they are already shifting and getting closer to us. But I think there is a lot of confusion at the broad customer base. People don't exactly understand the difference between reciprocal tariffs and sectoral tariffs and what's going to come and when, so there is a little bit of a wait and see. And by the way, we don't know as well how things will evolve in the second half of the year. I will say that I believe our opportunity is greater than our challenge. While we are well equipped and well -- the diversity of our supply -- of our manufacturing footprint and supply chain is high, and we've proven it to our customers in Asia and specifically in China in the second quarter, I think TI is unique in the fact that we have a manufacturing footprint in the U.S. And if U.S. chips are indeed becoming incentivized in whatever way they choose to do that, TI has a unique answer. Not only that we have the scale and the size of the required capacity, it's also very affordable. It's low cost, very competitive. And again, that opportunity has not played out yet, but we are ready for whatever changes we are going to meet in the second half of the year and beyond.
Mike Beckman: All right. Thanks, Josh. We'll move on to our last caller.
Operator: Our last question comes from the line of William Stein with Truist Securities.
William Stein: It's variation on the theme that we've listened to tonight. In -- I think it was the past call, and if not, certainly, during the quarter, Haviv, I think you characterized the environment as cyclical recovery is the signal and that tariffs and geopolitics are more noise and that the signal to noise ratio was very high. And I think there was an expectation that the momentum that we saw in the first half of the year was going to extend. And yet the guidance is sort of confusing in light of that view, specifically, you just delivered a plus 16.5% result year-over-year. And I think you're guiding to plus 11.5%. So how do I reconcile this? Is the environment just much more noisy than what you would characterize a quarter ago? Or did something else change? Is there another way to describe what happened in the last quarter?
Haviv Ilan: No. I think regarding, Bill, what happened -- Will, sorry. What happened in Q2, I think we were very open about it. as I said, we did see some dynamics within the quarter. It was more noisy, if you will, in the second half of the quarter. And it's very hard for us to, as I said, to Vivek and others to quantify how much [Audio Gap] and when you make guidance into the third quarter with the data we see right now, we just want to take a responsible approach. That's the data we have right now, that's the way we call it. I think in the -- during the last call, everybody was pushing back, how could it be that TI will grow 7% sequentially, and I think we've up-sided there, right? So I think right now, maybe the expectations were higher, but we are just calling the focus, the way we see it. We have to let it play out. I will reiterate that I believe the cyclical recovery is strong. Even if it masked a little bit by this tariff environment, I think we now have 4 out of the 5 markets already in. I expect automotive to join. I just don't see it yet. And once we have all 5 markets pointing in the right direction, will be complete. This recovery is very, very different from any previous one. You can see it also at the slope of the recovery, when you look at overall WSTS without memory trend, you can see a not very sharp return to trend line. We are still running 12% or 13%, I believe, below trend line, and there is a lot of -- usually, when a cycle establish itself, you first have to get a trend line and then you have to establish the next peak. We are still running double digits percentagewise on units below trend line. So I think that's what we're seeing. We are not different than the rest of the market, I believe. And we'll just have to continue to let it play out. So that would be my answer to your question, Will.
Mike Beckman: Do you have a follow up?
William Stein: Yes. If I can follow up one area that I hope might be a little bit more optimistic. In enterprise, I think you had a good quarter. And I'm wondering if you can remind us or update us as to your current and maybe future anticipated exposure to the rapid growth AI markets.
Haviv Ilan: Yes, very well. Our enterprise market is mainly, I think, the largest sector over there for us is data center, data center compute, but it's not only data center. We also have, for example, large printers or enterprise printers over there and also projection devices. So we probably want to clarify that over time. But if I just focus on data center and it's mainly today inside the enterprise market for TI, but also a little bit of the optical communication inside comms. When I kind of cut out and I look at our data center story, that's behaving very well this year. It's growing very nicely. It's a very high level, above that 50% that I've mentioned before. And the future has a large opportunity for TI because we are seeing ourselves playing in more sockets over time. Currently, our footprint on the data center side is more with our general-purpose part. We have a large share over there. But we're also working closely with some key customers to expand our positions there to more application-specific opportunities. This is based on our new technology that is ramping right now in Sherman, Texas. We already have samples, and we are competing to win share over there, that's more of a tailwind, a potential tailwind for us in 2026 and beyond. So that's our data center story. And thanks for that question, Will. Okay. So let me wrap up with what we've said previously. At our core, we are engineers, and technology is the foundation of our company. But ultimately, our objective and best metric to measure progress and generate value to owners is the long-term growth of free cash flow per share. With that, thank you, and have a good evening.
Operator: Thank you. And this does conclude today's conference, and you may disconnect your lines at this time. Thank you for your participation.